Operator: Welcome to the Juniper Networks fourth quarter 2009 earnings results conference call. At this time all participants are in a listen only mode. A question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Kathleen Bela, Vice President of Investor Relations for Juniper Networks. 
Kathleen Bela: Here today are Kevin Johnson, Chief Executive Officer and Robyn Denholm, Chief Financial Officer. A couple of housekeeping items before we begin. First, as a reminder there is a slide deck that accompanies today’s conference call. To access the slides please go to the IR section of our website at www.Juniper.net. Also, please note that beginning with this call a full look in to our geographic revenue distribution will be available in our slide deck. Secondly, this call will be available to download as a podcast. For details you may also visit the IR section of our website. With that, I would like to remind everyone that statements made during this call concerning Juniper’s business outlook, economic outlook, future financial operating results and overall future prospects are forward-looking statements that involve a number of risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements as a result of certain factors including economic conditions generally or in the networking industry, changes in overall technology spending, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, customer perception and acceptance of our products, litigation and other factors listed in our most recent report on Form 10Q filed with the SEC. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call in the event facts or circumstances change after the date of this call. In discussing the financial results today, Robyn will first present results on a GAAP basis and for purposes of today’s discussion we’ll also review non-GAAP results. For important commentary on why the management team considers non-GAAP information a useful view of the company’s financial results please consult our 8K filed with the SEC today. For the detailed reconciliation between GAAP and non-GAAP results please see today’s press release. In general, non-GAAP results exclude certain non-recurring charges, amortization of purchased intangibles, other acquisition related charges and expenses related to stock-based compensation. In today’s call Robyn will also be providing forward-looking guidance. As a reminder, guidance is provided on a non-GAAP basis. All guidance is forward-looking and actual results may vary for the reasons I noted earlier. GAAP guidance measures are not available on a forward-looking basis due to the high variability and low visibility with respect to the charges which are excluded from the non-GAAP guidance estimates. Please note that today’s call is scheduled to last for one hour and please limit your questions to one per firm. With that, I will turn the call over to Kevin.
Kevin R. Johnson : Juniper Networks finished 2009 on a very strong note financially, operationally and strategically. Our fourth quarter performance not only represented quarter-on-quarter growth but also year-on-year growth. The results for the fourth quarter and the year as a whole reinforce a few key points. First, they provide good indication that the macro environment continues to improve. While it remains too early to predict the pace and trajectory of recovery, particularly by geography, we’ve come a long way from the economic uncertainty we were facing at this time just a year ago. Second, our results reinforce that Juniper is executing operationally. We executed well on our R&D roadmap and we strengthened and expanded our go to market capability, introducing potentially valuable new partnerships. We’re also implementing our connected sales and marketing model worldwide which is the foundation for continued improvement in sales execution. These achievements are translating to financial results. Our operating margins are improving, our cash flow generation is strengthening and we’re getting these results while staying true to our commitment to invest in our innovation road map and customer support. Third, the fourth quarter is another data point that indicates we’re on the right track strategically. We expanded our portfolio of offerings leveraging our investment in R&D across both the service provider and enterprise sectors. At the core of Juniper is a drive for innovation which has enabled us to deliver routing, switching and security on a common software platform Junos. This programmable software platform running on custom silicon is changing the economics of networking and it is attracting partners which is enabling more choice and flexibility to our customers. Many of you heard us talk in detail about our vision and strategy for the new network in New York at our October event. As Internet traffic continues to increase customers face the difficult challenge of managing the complexity associated with the network and the significant investments required to maintain and expand it. It becomes increasingly apparent that there is a tremendous opportunity to develop a new approach to the network that delivers significant value to customers as they manage these challenges. We believe the new network must be delivered on a common open software platform Junos, supported by dedicated silicon that allows scalability. It’s a platform in which our partners and customers can innovate and deliver new and better user experiences in an environment that is fast, reliable, secure and scalable. In New York we made several key announcements that move us down this path. Our new Junos software platform which includes Junos in the Network, Junos Space and our new network client Junos Pulse. The launch of our next generation silicon Trio, which enables 3D scaling and positions our MX routers as the world’s first universal edge platform, a critical development for the mobile market. Five new solutions and a new suite of products for our datacenter cloud initiative and a series of Junos Space partnerships including agreements with IBM and Dell that extend our market reach as well as a host of licensing and application development partnerships. You’ll be hearing more about all these developments in the weeks and months ahead. In the meantime, they lend further validation to what we accomplished in 2009 and reinforced where we are going in this new decade. Early in 2009 we laid out for you a set of operating principles by which we have managed the company through the worst macroeconomic environment any of us have ever faced. After establishing those principles in Q1 we consistently improved our financial performance sequentially in each quarter. As we look ahead at 2010 we’ve taken a fresh look at the principles that we will use to guide us in 2010. I want to lay out those principles for you today and then hand it over to Robyn for more details on the quarter and the look ahead. Five principles that will guide us in 2010 include first, we are assuming in 2010 that the macro economy continues to improve as we move through the year setting the stage for a year of growth. Stability has improved and GDP growth is forecasted in 2010 though growth will vary by geography and of course the sustainability of growth is dependent upon the job recovery and many other factors. Second, we always plan for multiple scenarios but our intent is to accelerate coming out of the downturn and outpace the market recovery in 2010. Visibility is good in the enterprise market, we continue to take share, we are increasing awareness and we have momentum. Visibility continues to improve in the service provider sector and there are good growth opportunities for Juniper. I am particularly pleased to see the traction we are getting in the service provider sector in areas outside our traditional scope including security and managed services. Third, we will invest in innovations that deliver long term value for our customers. Our product roadmap is targeted to investments that extend our competitive advantage and enable our customers’ success. I talked a moment ago about innovation in silicon, software and systems that will power the new network and we will continue to target new investments in mobility, the datacenter and other key areas. In 2010 you will see us expand our focus on customer solutions that bring these technologies together in unique ways. Fourth, we remain diligent in managing our operating expenses. Our intent is to grow revenue faster than operating expenses enabling us to drive year-on-year operating margin expansion. We’ll do this by driving operational excellence as we continue to invest in innovation, our routes to market and customer support. Finally, we will maintain a healthy balance sheet and generate strong cash flows. Our goal is to optimize financial flexibility to reinvest in the business and augment that with returns via share repurchases as business and market conditions warrant. This set of principles should communicate our optimism about 2010. Consistent with 2009 we will maintain agility as we come out of the downturn. To sum up, we’re pleased with the performance of the company operationally, financially and strategically. The difference in ton of the business is strikingly different than it was a year ago at this time. Economic improvement has afforded us the opportunity to perform but it’s the execution on our operating principles throughout the past year that positions us to really succeed. As we enter a new decade I want to take this opportunity to say thank you to all the Juniper employees and our partners who worked tirelessly in pursuit of our mission: connect everything and empower everyone. We know that there is still much more to do yet we see a year of growth ahead for Juniper and we fully expect the company to accelerate out of the downturn. I’ll ask Robyn now to review the financial results in more detail.
Robyn M. Denholm : We are pleased with our fourth quarter financial results which demonstrates that we are executing well in a market that appears to be improving. Our solid execution in the quarter resulted in record enterprise sector revenue and strong sequential growth in the service provider sector. Our key demand indicators were all healthy with record levels of deferred revenue on both product and services and strong overall bookings which led to product book-to-bill well in excess of one. We continue to demonstrate financial discipline showing good improvements in gross margins and measured [standings] that contributed to a significant sequential improvement in our operating margins. This performance underscores the operating leverage built in to our financial model. On a full year basis we did what we said we were going to do. We committed that if our revenues were down for the full year our expenses would be flat to down. For the full year, revenue was down 7% while non-GAAP operating expenses were down 3%. We achieved this goal by reducing op ex while carefully directing investments to R&D. These investments resulted in key product releases and projects that position us well as our markets continue to improve. These actions enabled us to improve our operating margin on a sequential basis throughout 2009. Now, on to a discussion of the numbers; on a GAAP basis, total revenue for the fourth quarter was $941million. This was a strong finish to the year and represents a 14% sequential increase and a 2% increase from the prior year fourth quarter. Juniper reported GAAP diluted earnings per share of $0.24 for the quarter compared to $0.16 per share in the third quarter and $0.25 per share in the prior year fourth quarter. GAAP net income includes a $12 million charge due to the legal settlement related to a land development agreement for property purchased in 2000 and a restructuring charge of $3 million. Combined these two items represent $0.02 per share. Non-GAAP earnings per diluted share were $0.32, an improvement of $0.09 compared to the third quarter and flat compared to the prior year fourth quarter. Looking more closely at revenue, I will give you color on the regions, business segments and markets. Looking at our revenue by region, for the fourth quarter the Americas were approximately 55% of total revenue, up three points sequentially. EMEA was 27% and APAC was 18%. On a sequential basis the Americas revenue increased 22% and 7% year-over-year. This growth was driven by a record revenue quarter for the US where service providers saw strong sequential growth in both enterprise and service providers saw good year-over-year growth. EMEA revenue was up sequentially in the fourth quarter due to the growth in both the enterprise and service provider markets. This growth was primarily driven by the UK. APAC grew both on a sequential and a year-over-year basis. This growth was fueled by the enterprise business and offset by slight declines in the service provider business while it was stronger in Australia and in India. On a segment basis, total IPG revenue of $695 million was up a strong 17% sequentially and down 1% on a year-over-year basis. IPG saw growth on a sequential basis in MX M- and T- products as well as higher services revenues. EX revenue increased 47% to $74 million which represented our highest EX revenue quarter to date. SLT delivered another revenue record quarter of $246 million which represents an increase of 8% sequentially and 11% on a year-over-year basis. This growth was driven by strength in SRX and SSL VPN products. SRX products were $43 million. We are pleased with this 38% sequential increase. One of the significant drivers of the revenue increase for SLT was our continued expansion in to the service provider market with a record $71 million of revenue this quarter. This was led by increased sales of our SRX and security products in to our Tier-1 US service provider customers. Overall, we are pleased with our return on investment in R&D. As evidenced by the strength of new products including MX, EX and SRX which contributed more than $236 million in revenue in the quarter. For the full year, these products contributed over $700 million in product revenue. We are seeing increased success with our portfolio’s selling strategy contributing to market share gains in enterprise and expanding our market depth and breadth in service providers. Looking more closely at the markets we address, service provider revenue was 68% and enterprise revenue was 32% of the total revenue. Service provider revenue was up 22% sequentially and up 1% compared to the prior year fourth quarter. This success is a result of improving market conditions in the US, growth in routing and increased penetration of our switching and security products. This focus resulted in increased SLT product sales of 6% and EX sales of 67% sequentially. In terms of customers, AT&T was a greater than 10% of our revenue for the quarter and for the year. This was driven by the expansion of multiple ongoing projects and new design wins in security and mobility. We remain very pleased with our strong relationship with AT&T. Enterprise revenue was up 1% sequentially and up 5% compared to the prior year fourth quarter. For the full year, enterprise was up 11% as we delivered on our strategic objective to expand our presence in the enterprise. Switching fueled the growth and our portfolio selling enabled good expansion in enterprise routing and security. On a non-GAAP basis total gross margins for the quarter were 66.9% of revenue, a significant improvement over the prior quarter and returning to our long term model of 66% to 68%. Overall the biggest factor to total gross margin was the increase in the mix of product revenue versus services. Product gross margins were 68.5% of revenue up from 67.8% in the third quarter with the highest sequential improvement in IPG. This improvement was primarily due to volume and efficiencies resulting from our ongoing supply chain management. Service gross margins were 61.1% of revenue, up from 59.2% in the third quarter. This improvement was due to better than expected revenues as well as good cost management. Moving on to our operating expenses; I am very pleased with our continued cost management. A huge thank you goes out to our extraordinary employees who showed great commitment to containing costs while continuing to execute at high levels. Their efforts directly contributed to our results. For the full year 2009 we reduced total non-GAAP op ex by 3% while redeploying investment in to R&D and customer support and reducing our sales and marketing expenses by 7%. For Q4 non-GAAP operating expenses totaled $400 million or 42.5% of revenue. Relative to the third quarter operating expenses increased $29 million or 8% on revenue growth of 14%. R&D expenses were $172 million or 18.3% of revenue, a slight increase of $2 million compared to the third quarter and flat for the full year. This is a significant achievement by the R&D team who have delivered on their roadmaps and met significant milestones on time. Sales and marketing expenses totaled $194 million or 20.6% of revenue, a $28 million increase sequentially. This is a result of higher variable sales expense and an increased investment in revenue generating marketing campaigns. D&A expenses totaled $34 million or 3.6% of revenue flat with the third quarter. Non-GAAP operating profit for the quarter was $230 million resulting in an operating margin of 24.4% of revenue, a very strong 3.6 point sequential gain. Looking at operating margins by segment, IPG operating margin was 26.3%, up five points from the third quarter and contributed the most to our sequential improvement in total operating margins. This increase was due to higher revenue, higher gross margins and good cost discipline in sales and R&D. As a reminder, our investments in both EX and Project Stratus and Falcon are included within the IPG segment. SLT operating margin was 19.3% flat compared to the third quarter and I am pleased in the strength in both segment’s operating margins. Turning to the bottom line; Juniper posted non-GAAP net income of $174 million for the quarter up 42% sequentially. Net other income and expense was zero for the quarter. Interest income of $3 million was offset by higher distributor financing costs as a result of the increase in volume and modest foreign exchange losses. The non-GAAP tax rate for the quarter was lower than expected at 25.4% down sequentially by 3.8 points. The primary driver was the geographic mix of pre-tax earnings. The reduced tax rate contributed $0.01 to our non-GAAP EPS. Looking at the balance sheet we ended the fourth quarter with more than $2.6 billion in cash and investments. This balance was up $60 million from the prior quarter. We generated record cash flow from operations in the quarter of $260 million up from $224 million in the third quarter. For 2009 we generated $796 million in cash from operations. During the quarter we repurchased 8.1 million shares at an average price of $26.14 per share or approximately $212 million. For the full year we repurchased 20.7 million shares at an average price of $21.91 per share or $454 million. Our weighted average shares outstanding for the fourth quarter were 539 million shares. On a diluted non-GAAP basis up slightly from the prior quarter. As of December 31st our absolute shares outstanding were 519 million shares down eight million compared to the end of 2008. As Kevin noted, it is our intention to continue to execute on our buyback program as business and market conditions warrant. Cap ex for the quarter totaled $40 million and depreciation and amortization was $37 million consistent with prior quarters. DSO increased to 44 days from 41 reported in the third quarter which is in line with our long term model and typical for the fourth quarter. Total deferred revenue was up significantly to a record $754 million. Sequentially product deferred revenue was up 27% or a $51 million increase. Services deferred revenue increased by 13% or $60 million. Year-over-year total deferred revenue balance increased by a notable $163 million or 28% with product deferred revenue up 53% and services deferred revenue up 19%. Our deferred revenue profile reflects a broad range of customers with no one single customer representing a majority of the increase. We ended the quarter with a total headcount of 7,231. Now, let’s turn to our guidance. As a reminder, guidance is provided on a non-GAAP basis except for revenues and share count. As Kevin noted earlier, while we are always planning for multiple business scenarios our expectations are that 2010 will be a growth year for Juniper. We also anticipate that the pace of economic recovery will vary by geography but that overall the economic environment will strengthen as we move throughout the year. As we enter the first quarter we are mindful of the strong demand metrics that we posted in the December quarter and we’re balancing that with the fact that many of our customers are still setting their 2010 budgets. For the March quarter with the midpoint of $895 million our revenue range is $880 to $910 million. We are expecting gross margins for Q1 to remain solid and within our long term model of 66% to 68%. We intend to manage operating expenses essentially flat with the fourth quarter and as a reminder, op ex in Q1 include higher FICA taxes as well as the resumption of some of our variable compensation expenses. Operating margin for the first quarter will be down sequentially on the reduced revenue but it will be at 21% plus or minus half a point and as we progress throughout 2010 we anticipate operating margin expansion as revenue grows on a year-over-year basis. We remain committed to achieving our long term operating margin targets on a sustainable basis. We expect Q1 non-GAAP EPS to range between $0.23 and $0.26. A note on the tax rate, the anticipated tax rate for the March quarter will be approximately 31%. This is due to the R&D tax credit not yet being approved. The impact of this higher tax rate on the March quarter EPS is approximately $0.02. Share count is expected to be flat compared to the fourth quarter. In summary, throughout 2009 we demonstrated good financial discipline and were able to show good expansion in operating margins. We managed our cost structure well within our anticipated revenue opportunity and at the same time continued to deliver great innovation to the marketplace. As we look forward to 2010 we will continue to be prudent with our costs and will execute our investments in line with the market and economic recovery. With that, we look forward to seeing you at our analyst day scheduled for February 23rd where we will provide more detail on our strategic plan supporting the long term growth of the company. I will now hand it over to the operator for questions.
Operator: (Operator Instructions) Your first question comes from Jeffrey Kvall – Barclays Capital.
Jeffrey Kvall – Barclays Capital: Robyn I would like to inquire about the trajectory of the first quarter numbers. It seems as though yes, a lot of your metrics are very high and traditionally seasonality has not been down quite as sharply so could you talk us through a little bit of the thought process there? Then, if you could expand on that and talk about routing growth through 2010 that would be very helpful?
Robyn M. Denholm : In terms of our guidance, as we said we’re predicting a range of $880 to $910 million and really the variability in that range has to do with our service provider segment as we said in the commentary. I think we did have a very strong finish to 2004 in the fourth quarter and we saw good growth in both routing and also security and switching in to service provider and also we saw growth in the enterprise sector. We are expecting sort of that range for the first quarter and as you historically know the first half of our year is between 47% and 48% of total revenue for the year if you go back over the last four or five years that has been about the case. Then the second half of the year tends to be about 52% or 53%. That is how we’re looking at the year trends in terms of next year. We don’t see any pattern change in that so we do expect a bigger second half than the first half. 
Kevin R. Johnson : On your question about routing growth, look we look at the service provider addressable market in 2010 growing roughly 13% to 15% so certainly router growth would have to be in that range and that’s for the addressable market. Now certainly, our ability to execute and accelerate out of the downturn but your question on broad addressable market that’s what we’re looking at on the service provider side. Enterprise addressable market that’s probably a more modest growth. I think some of the recent surveys of CIOs have showed that IT budgets are picking up. You might see the total addressable market there grow by mid single digits 5%ish or so. But, at the end of the day we’re taking share in the enterprise so independent of growth of the addressable market I think we’ve got opportunities just to continue to have systematic execution.
Jeffrey Kvall – Barclays Capital: Any comment on the routing versus optical questions that are circling?
Kevin R. Johnson : I view the opportunity of looking at how routing and optical work together to solve customer problems as an opportunity. Our field sales teams are engaged with a number of customers on this as is our IPGT business group and probably the best thing to do is invite you to our analyst meeting and we’re going to focus on having a breakout on that particular topic where those teams can go in to more detail. But, at the end of the day I think it’s an opportunity for us.
Operator: Your next question comes from Jeffrey Evenson – Sanford & Bernstein.
Jeffrey Evenson – Sanford & Bernstein: Wondering if you could give us some insights in to what type of projects with service providers seem to be gaining the most traction and I’m thinking if you could divided it maybe in to wireline versus mobile and then just adding capacity to existing products versus starting new projects?
Kevin R. Johnson : The way I would frame a lot of the new activity and the new focus is in the area of mobility. For us in many ways two things, number one mobile security. When you look at the marketplace anytime you have an explosion of devices, ubiquitous use of devices, lots of applications and connectivity to the internet you start to open up the risk and concerns of malware and viruses and security issues. So our SRX and the solutions that we have with the SRX and Junos Pulse have seen a lot of activity in the area of mobility. The second thing then is with the announcement of the MX 3D the fact that we’ve got the world’s first universal edge router that can scale on three dimensions whether it’s traffic, number of users or the number of services provider to the user I think that’s generating opportunity as well. Now, certainly on the wireless side traffic continues to grow and people have to continue to manage and tune their networks so continued build outs on the wireline side continues but when it comes to mobility I think that’s where we’re seeing a lot of opportunity.
Operator: Your next question comes from Simona Jankowski – Goldman Sachs.
Simona Jankowski – Goldman Sachs: Kevin, I just wanted to ask you it sounds like a lot of your incoming opportunities in the service provider segment are coming from some of these new areas like security and managed services. How do margins in those areas compare to your traditional IPG businesses?
Kevin R. Johnson : Well, I think they compare favorably to what you have seen. I think when you look at some of the areas like managed services certainly that brings in a flavor of our EX switch business and some of the solutions that are applicable in the enterprise which is a little bit different than routing but at the end of the day I think from a margin perspective as I think Robyn highlighted in our guidance that we’re forecasting even with the growth in these areas to be within our long term guidance range of 66% to 68%.
Robyn M. Denholm : I think you covered it Kevin. You just need to look at our segment operating margins. We saw very healthy growth in the IPG segment which has the switching business as well as in the SLT and the security area. We maintained a very high operating margin that we actually was a record last quarter and we maintained that this quarter so I think the numbers speak for themselves.
Operator: Your next question comes from Nikos Theodosopoulos – UBS.
Nikos Theodosopoulos – UBS: My question is on the AT&T commentary, they broke over 10% I think you said for the quarter and the year. I think that’s the first time they were ever a 10% customer let alone for the year. Can you talk about is that sustainable in to next year? Was there something unique in the quarter there? And, were they the only big addition sequentially for you or were there other strong customers here in the US?
Kevin R. Johnson : First of all, we had a number of strong customers in the US and worldwide so it wasn’t just the relationship that we have with AT&T. Second, AT&T is clearly a very important customer of ours and we’re pleased with the relationship and we’re going to continue to work hard to earn the opportunity to do business with them. That’s part of our job to be good at innovating and good at building that relationship and solving customer problems and I think what you see is the reflection of the work that we’ve done and its certainly our intent to continue to work hard on new design wins and continue to expand the relationship with all of our customers.
Operator: Your next question comes from Tal Liani – Bank of America Merrill Lynch.
Tal Liani – Bank of America Merrill Lynch: I have a broad question on EX, if you don’t mind to give us an update on your plans for the year, where do you see the growth coming from predominately? Is it through agreements you have with big system integrators or maybe more direct selling, direct meaning distribution channels? Also, on profitability if you can give us an update kind of more the way you see the year coming through?
Kevin R. Johnson : I’ll take the first half of that and then I’ll hand it over to Robyn on the profitability question Tal. First of all the growth that we’re seeing in the EX certainly is focused on the enterprise and certainly service providers contributed to that growth this quarter as well as they’re providing managed services and services in to the enterprise. Frankly, I expect growth through all channels. I expect growth through managed services in the service provider channel, I expect growth through the big relationships that we have with IBM and Dell as that kicks in and I expect growth through our traditional channel. Much of that is raising awareness and visibility of the offerings and the value that we have in the marketplace and continuing to drive against our connected sales and marketing agenda. I’ll comment too it’s not just the EX, it’s the entire portfolio that is helping create that value proposition. Robyn, do you want to comment on the profitability question?
Robyn M. Denholm : Tal, on the profitability side in terms of what you saw this quarter for Q4, we had a sequential increase in revenue of 14% and we drove a significant improvement in the operating margin quarter-over-quarter, about 3.6 points. As I said what I think will happen during the year, the macro environment will continue to strengthen. I gave you a bit of color in terms of how we think the first half versus the second half in terms of revenue should play out. We also believe that we will expand operating margins as we go throughout the year but we’re measuring ourselves on a year-over-year basis for the full year. We believe that for the full year we’ll expand operating margins over the 2009 period of time.
Operator: Your next question comes from Richard Gardner – Citi.
Richard Gardner – Citi: Kevin, I was just hoping that you might give us an update on your OEM partnerships with IBM and Dell and how those are progressing, especially IBM and whether there was meaningful revenue contribution from these partners in the fourth quarter and what product specifically you’re seeing the most traction through these channels?
Kevin R. Johnson : I’ll start with IBM, keep in mind that we just probably early November so kind of late in Q4 that IBM even started shipping the OEM version of the EX and the MX products and so as a result IBM also resells a lot of the Juniper products but the OEM component of that was fairly insignificant it was just a few million. But, at the end of the day IBM continues to play a big role in our reach to enterprise customers and so it’s still very early days with the OEM but I would say that our partnership with IBM continues to get stronger and we continue to build that partnership out. Just a quick update on Dell, we’re very pleased with the work that we’re doing with Dell and right now I would expect that it would be in Q2 sometime that the OEM version of the products through Dell would come to market. So, it’s still early days there as well.
Operator: Your next question comes from Paul Silverstein – Credit Suisse.
Paul Silverstein – Credit Suisse: Kevin and Robyn if I can just return to the question on AT&T, was it close to being 10% in any other quarter in the year?
Kevin R. Johnson : The answer is probably yes. They had a fairly reasonable spending pattern through many of the quarters. I don’t know the specific numeric but this wasn’t an incident where all of their spending came in Q4. Robyn do you want to add?
Robyn M. Denholm : That’s exactly right.
Operator: Your next question comes from Ehud Gelblum – Morgan Stanley.
Ehud Gelblum – Morgan Stanley: Robyn one to you and then a follow up; just quickly you’re now above run rates that you had previously when you had 25% operating margin, you’re back there again. If you look at next year and you kind of block out the way you’re looking at it you’ve always described your operating margin targets as 25% or more, how should we be looking at that as we get to the year? Will you end the year at 27% to 28%? Can this business run to 30% as we look in to 2011? How are you looking at the play between letting operating margin run, and I guess this is a question as well for Kevin, versus letting more of the margin go in to R&D to field future projects so maybe it only stays at 26% to 27%?
Robyn M. Denholm : I’ll tackle the first part of that question Ehud and then hand it over to Kevin. From my perspective, as we said we do expect operating margins to expand over the 2010 period of time and the Q1 number of 21% plus or minus a half is actually higher than the full year operating margin for 2009 so we do expect continued expansion on that front. It will be measured because we do continue to fund our R&D agenda and Kevin will go in to that a little bit more. But, the other perspective is that we are very committed to our long term operating margin targets as we’ve talked about before and they are at 25% or higher on the bottom line as we grow at 20% plus over time. With that, I’ll hand it over.
Kevin R. Johnson : I would just complement Robyn’s answer with a couple of key points, the first one is that as you saw the performance in Q4, this business has a lot of operating leverage opportunity in it. If we start driving revenue the fact that we invest a dollar in R&D that can then be monetized in both the service provider sector and the enterprise sector is a very powerful formula. If we can accelerate revenue growth there is a lot of operating margin expansion that we can drive. Now, as we’re accelerating out of this downturn obviously if there are investments that we can put in to further accelerate that growth in revenue that’s what’s going to drive the most profitability for shareholders so certainly those investments may come near term more in the form of sales and marketing that help us accelerate out of the downturn. Now, long term certainly keeping our eye on the R&D agenda, and we feel very good about the execution that we had in R&D in 2009, we feel very good about the decisions that we’ve made in terms of allocation of R&D resources in 2010. So I think in many ways we’re going to execute against that R&D agenda in 2010 and the more we can accelerate the more operating leverage we’re going to get. Your question of could this business over the next few years if we get enough operating leverage and break through rise above 25% operating margins? The answer is absolutely it could. Our job right now today is to accelerate out of the downturn and that is the strategy.
Operator: Your next question comes from Simon Leopold – Morgan, Keegan & Company, Inc.
Simon Leopold – Morgan, Keegan & Company, Inc.: When we sort of think about the coming quarters in your forecast, I’m reflecting on the Q4 guidance which was wrong but wrong in a good way and then you had good upside. Just if you could talk a little bit about your philosophy of providing the forecast and what you were mistaken about in providing the lower forecast in Q4 so what surprised you and take that in to how confident you are in your Q1 outlook?
Robyn M. Denholm : I think the way we approach forecasting every quarter is we actually call it like we see it. We’re not trying to second guess what we’re seeing in terms of our demand indicators, pipeline, etc. and we also set our guidance in discussion with our customers as well. So that’s what we do each quarter. We were pleasantly surprised in the fourth quarter in terms of the ramp of the service provider business particularly in the US. We saw that sort of pick up a little bit faster than we were originally expecting. The linearity was good and the pace of that was very good. We expect that to continue although we think that things get off to a slower start in the first quarter given January is the reset for a lot of our customers in terms of their new fiscal year, etc. just like it is for us. So, that’s really reflected in our guidance and in the range itself.
Operator: Your next question comes from Analyst for John Robertson – Pacific Crest Securities.
Analyst for John Robertson – Pacific Crest Securities: Kevin, I had a follow up question on that, obviously as you look at deferred revenue here a lot of momentum, highest sequential increase in five years, one could argue a bit of an inflection point yet you are still guiding to a below normal seasonal Q1 implying a level of conservatism here. My question is what’s driving the conservatism? Is it tied to the timing of orders, of some projects, any color that you could provide on the level of activity in conversations you’re having with service providers in particular around their spending plans this year would be helpful.
Kevin R. Johnson : I think first of all you look at Q1 of 2009 and I think it was a sequential 17% quarter-on-quarter decline from Q4 2008. I think in many ways you look at that pattern of spending that started back when the macroeconomics situation was a lot more questions around it. I think today as our customers have worked through a lot of how they’re playing through the economic downturn, the bigger question is right now whether or not as they enter their fiscal year they’ve landed and finalized their capital budgets and how much of that has been released. I think that varies customer by customer. Certainly, when I look long term at the fundamentals of the networking industry traffic volumes continue to grow, there’s more users on more devices, there’s more user scenarios in mobility wireless, there’s opportunity certainly to the earlier question that was raised about optical and routing, there are a significant number of opportunities for us. So, I think in terms of putting the guidance together as Robyn said we looked and said that quarter-on-quarter typically in the enterprise spending Q1 is a lower capital spend for enterprise customers than Q4. We’re projecting our enterprise business roughly flat quarter-on-quarter and the one variable is the service providers. So could that number be lower? Yes. Could it be higher? Sure. But, I think based on our best roll up from our field teams and our look at the business I think we’ve offered a realist range of guidance.
Operator: Your next question comes from Sanjiv Wadhwani – Stifel Nicolaus & Company.
Sanjiv Wadhwani – Stifel Nicolaus & Company: Just one clarification and a question; Kevin, you suggested that service provider spending is likely to be about 13% to 15% this year over 2009?
Kevin R. Johnson : That’s addressable market. That’s looking at total market and that’s based on triangulating a number of analyst data points combined with our own assessment of what is happening in the geographies but that’s an addressable market point for service provider sector.
Operator: Your next question comes from William Choi – Jefferies & Co.
William Choi – Jefferies & Co.: Just on AT&T I’m curious if there’s any particular rev req issues? You talked about a very consistent quarterly deployment cycle but I’m wondering if there was more rev req done in the Q4?
Robyn M. Denholm : No. As you saw, our deferred revenue was up significantly not only quarter-over-quarter but year-over-year and I also pointed out that there was no one customer that actually created that increase if you like so there was no deferral, it’s actually very consistent with a normal quarter.
Operator: Your next question comes from Ittai Kidron – Oppenheimer & Co.
Ittai Kidron – Oppenheimer & Co.: Robyn I wanted to drill a little bit to reconcile some of the comments you’ve made. First, looking at enterprise 1% growth actually looks pretty weak on a quarter-over-quarter basis and I’m trying to reconcile that with some of the growth you had by the way you slice it on the product side, specifically that you mentioned EX was $74 million, correct me if I’m wrong which means that by itself contributed to 3% growth quarter-over-quarter relative to September and that implies that every other product within enterprise was actually down quarter-to-quarter down shipping in to the enterprise channel unless you are shipping a lot of EX in to the carrier channels. So, if you could clarify how much of EX is really going in to carriers and is my interpretation correct that actually your enterprise business excluding EX was actually down quarter-over-quarter? And, do you expect EX to maintain momentum in to March or could it actually finally take a breather here and be down in March?
Kevin R. Johnson : Let me just handle the first part and then I’ll let Robyn comment on a couple of specific numbers. First of all the EX revenue grew 50% quarter-on-quarter so another strong indicator of customer acceptance of the EX product line. The thing that you have to be careful of is part of that EX growth we counted in the service provider sector but it’s used for managed services to service enterprise customers. So, as enterprise customers look to the service providers certainly service providers will be buying product in our enterprise solutions that are serving enterprise customers so I think that’s the bulk of what you saw in this particular quarter. I think Robyn’s got a couple of specific numbers she can share.
Robyn M. Denholm : In terms of the EX revenue, it was $74 million up as Kevin mentioned just under 50%. In terms of SLT in the enterprise what we said was that SLT itself was up significantly quarter-over-quarter and they actually had another record revenue quarter. They did sell quite a number of products in to the service provider sector as well. They had some good wins from a mobility perspective so we’re actually very pleased with our enterprise revenue growth. We had a very big Q3 revenue as well in the enterprise so we’re pleased with our performance in enterprise and for the full year we were up 11% in enterprise on a down market so we actually think we’re doing very well on the share side in enterprise.
Operator: Your next question comes from Mark Sue – RBC Capital Markets.
Mark Sue – RBC Capital Markets: I’m trying to understand what may be additive to your top line growth rate in the mid to high teens in 2010? Does wireless for example add 100 basis points of growth? How do you do that without an acquisition? Does Stratus contribute meaningfully this year or is it IBM that can be a big deal late this year or all of the above?
Robyn M. Denholm : In terms of full year Mark I didn’t hear the first part of your question.
Mark Sue – RBC Capital Markets: I’m trying to see what may be additive to your top line growth rate this year assuming an economic recovery? What may actually swing it above that?
Robyn M. Denholm : As Kevin said, from an enterprise perspective we’re expecting the market to grow in the single digits but actually from our perspective we believe we’re going to continue to take share driving both in the switching area but also in the security area. In terms of service provider we expect that market to grow in the 12% to 15% range and actually we’ll continue to execute well in our edge and core routing business but also continue to expand in the areas that we have been recently around mobile security and our SRX products in to carrier space as well. Again, carriers we always talk about wireless and wireline carriers, we’re also doing well in the cable sector and that contributed to our fourth quarter earnings as well.
Kevin R. Johnson : Mark, I think things that can help us continue to accelerate on the growth agenda in 2010 are in many ways our sales and marketing getting more connection with customers on the mobility solutions we have around security and things that we can do to help them as the wireless sector grows, things that we’re doing to raise awareness in the enterprise and continue to build partnerships and drive our sales and marketing execution in to the enterprise. That’s what’s going to enable us to accelerate on our growth, it’s with the set of products and services that we have today and the things that we have in the pipeline. I think in a lot of ways it’s doing a great job on executing on our routes to market.
Operator: Your next question comes from John Marchetti – Cowen & Company.
John Marchetti – Cowen & Company: Just curious guys, as you are looking out in to that 1Q quarter there and you talked a little about how this one really surprised you a little bit on the service provider side, as you look out in to 1Q if there is upside to those numbers would you again expect it from the North American carrier market? Are there other areas where you really see meaningful upside to the guidance that you’re giving out there next quarter given the way this quarter really seemed to surprise you guys on the high end?
Robyn M. Denholm : I think in terms of our guidance we see the range as we called it. In terms of possible scenarios that are out there we have not yet seen a significant recovery in either our APAC or our EMEA service provider demand trends so there’s obviously opportunities in those markets. We believe we’ve served customers really well in those markets and we’ll continue to do that. In Q4 we saw the Tier-1 US service providers spend more and they were reflected in our results.
Operator: Your last question comes from Jason Ader – William Blair & Company, LLC.
Jason Ader – William Blair & Company, LLC: My question is Kevin do you think that 20% revenue growth is possible in 2010? Then, a real quick one on top of that is have you guys talked at all about your opportunity in wireless backhaul?
Kevin R. Johnson : On your first question of 20% growth in 2010 we’re only offering guidance for our first quarter of the year. Certainly, we have aspirations to get to our long term operating model which is to grow at 20% plus and to expand operating margins to 25% plus. So, we stay focused on that long term operating model. Will we get there in 2010? I don’t know. Right now we’ve guided for Q1 and we’re just going to continue to drive good execution and good thinking in the business and just continued sustained progress as we take share and as we grow in the market and we’ll see where that leads us. On backhaul, we have a mobile backhaul solution, the BX product that we have in the market and so we do have a play in mobile backhaul.
Kathleen Bela: That will conclude today’s conference call. We’d like to thank you again for joining us today and we hope to see many of you in San Francisco on February 23rd. Thanks again.
Operator: Ladies and gentlemen this does conclude today’s teleconference. Thank you for your participation.